Operator: Good morning, everyone and welcome to Parex Resources Second Quarter 2022 Conference Call and Webcast. [Operator Instructions] I would now like to turn the call over to Mike Kruchten, Senior Vice President of Capital Markets and Corporate Planning at Parex. Please go ahead, Mike.
Mike Kruchten: Thank you, operator and good morning everyone. On the call with me today are Ken Pinsky, Chief Financial Officer; and Eric Furlan, Chief Operating Officer. Please note that Imad Mohsen, President and Chief Executive Officer, will be unable to join us today as he is currently overseas in Lebanon visiting his parents for the first time since the start of the COVID-19 global pandemic. As a reminder, this conference call includes forward-looking statements and non-GAAP and other financial measures with the associated risks outlined in our news release and MD&A, which can be found on our website or at sedar.com. All amounts disclosed today are in U.S. dollars, unless otherwise noted. Please go ahead, Ken.
Ken Pinsky: Thanks, Mike, and good morning, everyone. In the second quarter of 2022, we generated record funds from operations of $228 million, again that’s in U.S. dollars, which is up 73% over the comparative quarter and 11% from the prior quarter. On a per share basis, that’s CAD2.53, which is a record for us, as I said. On a year-to-date basis, Parex has generated $178 million of free funds flow, of which we are proud to say 100% of that has been directed towards dividends and share buybacks as we continue to be debt free. Production for the quarter was pre-leased at approximately 51,100 BOEs per day, up 16% from the comparative quarter in 2021. Production was relatively consistent with the prior quarter primarily due to well timing and higher-than-expected downtime. And this was previously announced. We continue to have balance sheet strength and a working capital surplus of $312 million. It is our expectation that working capital will decrease in the third quarter due to the timing of capital expenditures as well as the acceleration of our share buyback program that we began in late June. As we move through 2022, we continue to be driven by our long-term capital allocation framework, which is to return at least one-third of our total funds flow of operations to our shareholders, which equates to 100% of free funds flow. This year, we have increased the regular dividend twice, which now amounts to CAD1 per share on an annualized basis. Furthermore, we are complete and through 75% of our 2022 normal course issuer bid. Or alternatively, we have already purchased 8.7 million out of the 11.8 million shares so far this year and we will purchase the full 10% in the remainder of the year. Eric Furlan will now provide an overview of the investments being made in our operations and where we see production increases coming in the back half of the year, followed by some final remarks by Mike on our outlook. Please go ahead, Eric.
Eric Furlan: Thanks, Ken. Today, Parex is making strategic investments across our portfolio to grow production. Right now, we have 7 active rigs on operated blocks and 3 on Block 34. In the Llanos Basin, we are accelerating infill drilling and waterflood optimization of the Cabrestero block as well as executing near-field exploration; moving drilling rigs to Southern Llanos fields to complete short-cycle opportunistic production adds that are expected to spud in Q3; successfully drilled into multiple prospective formations where we are actively testing multiple zones in Capachos; have completed several works on our first Arauca Block well and are on track to begin drilling operations before year end, which will be a key area for our 2023 plans. In the Magdalena Basin, we continue to assess the exploitation potential of Boranda Block, where we have drilled the first ever horizontal well on the block and are testing this month. At the Fortuna Block, we are actively drilling into one of the prospective formations that will be completed in the third quarter, where after we will do a full evaluation of four zones. So far, we are seeing that multiple technologies that we are using, such as horizontal drilling, advanced stimulations and synthetic drilling mud, are providing us operational benefits. Needless to say, we are busy and focused on putting the pieces in place to achieve our annual guidance of 54,000 to 56,000 BOE per day with an exit rate of 60,000 BOE per day. This would mark record production levels for the company and are a clear shift to a multi-field operator, in line with our long-term ambition. Back to you, Mike.
Mike Kruchten: Thanks, Eric. I’d like to take a moment to highlight the release of our eighth annual Sustainability Report, which is set to be released in the coming weeks, in accordance with Global Reporting Initiative standards, aligned with the Sustainability Accounting Standards Board standards, SASB; and updated reporting on the Task Force for Climate-Related Financial Disclosure recommendations. I would encourage everyone to watch the release which highlights sustainability actions undertaken by the entire Parex team as we continue to be a top-tier ESG performer. Moving forward, this quarter’s record results show how an unhedged Parex is benefiting from the current favorable commodity price environment. We are continuing to return significant capital to shareholders through dividends and share buybacks as well as strategically investing in our operated fields to increase production. Today, the company is on track to complete our current normal course issuer bid, or NCIB, by the end of the quarter, which would mark the fourth straight year where we have purchased 10% of our public float, has a growing dividend in place and, based on our guidance numbers, is expected to grow production nearly 30% on a per share basis this year. We feel the company is uniquely positioned given our compelling valuation. We made the decision in late June to accelerate our ‘22 share buyback program, as Ken mentioned, underlying the confidence that we have in Parex, the assets, people and the capability, to execute our strategy. With that, I would like to thank everyone for their continued support of Parex. And I’d also like to thank our employees listening for their continuous hard work. This concludes our formal remarks. I would like now to turn the call back to the operator and start the Q&A session for the investment community. Thank you.
Operator: Thank you. [Operator Instructions] We have a question from Chris Jones from Haywood Securities. Please go ahead.
Chris Jones: Hey, good morning guys. Ken I wanted to start with cash returns. This quarter, you returned about 77% of your free cash flow, including dividends and the buyback and you acknowledged your plan to go ahead and complete the remaining authorization. So I am curious about your capital return framework, which includes the return of up to 100% of your free cash flow. How should we think about the pace and timing of dividend increases and is there a general preference with base dividends or specials sort of just wondering about your views on that?
Ken Pinsky: Yes, thanks Chris. We have done a special in the past. Last second quarter, we did a special dividend really to manage our working capital. We don’t want to see working capital grow much beyond the $325 million, $350 million mark. And so we used a special dividend to manage that. The Board does favor regular dividend increases at this point versus special. So going forward, we saw a unique opportunity with our valuation to up the buybacks to complete it earlier than the end of the year. And the Board has a strategy session at the end of September and will look at some other return of capital frame – ideas that we may have as things we can do. We could increase the regular dividend potentially there or keep it in place until next year and talk about dividends when we announce our budget to the market, which typically is the third quarter release. So that’s kind of how we are thinking about it. But as we – the overall framework is a free – a funds flow from operations about a two-third to CapEx, one-third split assuming an $80, $90 per barrel oil under the current economic framework that we have today. And then that one-third of funds flow that is 100% of our free funds flow, that goes back to the shareholders through a buyback or a dividend. So, that’s how we kind of think of it today and most likely longer term.
Chris Jones: Okay, great. And maybe if I could ask one more, maybe this one is for Eric just regarding exploration and appraisal drilling here in Q3. Just wondering when we could expect results from some of those projects?
Eric Furlan: Thanks. So we are kind of in the middle of the start of our testing here or in the middle of our testing on several wells. The timing didn’t work out for a fulsome release right now with our quarter end. But we do expect to complete most of that testing here in the next couple of weeks.
Chris Jones: Okay. And then so results would be some time in September or would that sort of leak into Q4?
Mike Kruchten: Yes, that would be ideal. We would like to have – provided an operational update as we get back to work here in the autumn.
Chris Jones: Okay, thank you.
Operator: Thank you. [Operator Instructions] Next question is from Oriana Covault from Balanz. Please go ahead.
Oriana Covault: Hi, good morning. Thanks for taking my question. First, I wanted to go – I had two questions regarding CapEx. First of all, we noticed that increasing commitments for 2023. So just curious if you were thinking of accelerating any works that were thought for a later stage and this mostly in connection with the recently awarded logs that you got in the 2021 bidding round?
Eric Furlan: Thanks. We couldn’t catch the first question. In respect of the work on the 2021 bid round blocks, we have started some permitting work on that. And most of that work, it takes about 12 months before we really start to kick off on capital on newly awarded blocks. So if you – our focus right now is the blocks that were awarded in 2020 and 2019. 2021, we are permitting and we hope to see some drilling on those blocks in 2023, which we will announce in the 2023 budget November of 2022. Could you repeat your first question, though, please?
Oriana Covault: Yes, it was regarding the increase in commitments in your MD&A on Page 20. I was looking with the numbers for this second quarter compared with the first quarter and I saw marginal increase in commitments. So, just was curious if this was due to some acceleration in exploration plans and commitments for 2023.
Eric Furlan: No, that balance basically is all our commitments both for ANH or Colombian regulator-awarded blocks plus our Arauca farm-in commitment to Ecopetrol, which we’ll start working on this year in the fourth quarter with a rig moving into the Arauca block to commence drilling operations there. And then it also includes some past blocks that’s been awarded that we continue to work on or work with the regulator in transferring commitments out. I mean Colombia is very flexible on how you move your commitments around. But some of the increase would have to be in respect to signed blocks in 2021, but I wouldn’t say anything was accelerated.
Mike Kruchten: I think it’s key to note that the increase in commitments doesn’t impact our overall capital that we will be spending. We will be able to fit it in within our existing capital framework.
Oriana Covault: Perfect. Thanks. That’s very clear. And maybe just one last one regarding this 2021 bidding round and with regards to Petro coming in and how do you see in terms of potential risks to these awarded blocks? Any potential changes that could come in from licensing or permits? Just perhaps having a more clear perspective in terms of what are the next steps with this round of blocks that you were awarded?
Eric Furlan: Thank you. Well, the blocks are all signed and so we are moving forward on permitting work and what we call EIA or environmental assessment work right now. And there has been no change in anything that we have seen so far. They are announcing their – they take care of office, I believe, August 7. They will be announcing their final cabinet members, which is pretty key. And then going forward, we will start to see some policies. But they have not talked about anything about taking away blocks. They just said that they potentially won’t have any future bid rounds, but we will see. We are a key part of the industry. As I point out, we are – we have been taxable in Colombia since pretty much our existence, because we have been successful. And we pay royalties in Colombia. And as you know combined, if you look on a U.S. dollar basis, Parex itself will provide to the Colombian economy or government authorities $600 million to $700 million. That’s material. So we are – we like what we hear so far as far as how they are looking at the approach with business going forward. And we will just – we will see what happens here as they start to rollout policy.
Oriana Covault: Perfect. That’s very clear. Thank you very much.
Operator: Thank you. [Operator Instructions] There are no further questions registered at this time. I would like to turn the meeting back over to Mr. Kruchten.
Mike Kruchten: Thank you very much and that concludes our meeting.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.